Operator: Hello, and welcome to the Dassault Systèmes 2024 Fourth Quarter and Full Year Earnings Call. My name is George. I'll be the coordinator for today's event. Please note this conference is being recorded and for the duration of the call, your line is being in a listen-only mode. However, you have the opportunity to ask questions towards the end of the presentation. [Operator Instructions] I'd now like to hand the call over to your host today, Ms. Beatrix Martinez to begin today's conference. Please go ahead.
Beatrix Martinez: Thank you, George, and thank you for joining our fourth quarter and full year 2024 earnings conference call with Pascal Daloz, Chief Executive Officer; and Rouven Bergmann, Chief Financial Officer. Dassault Systèmes results are prepared in accordance with IFRS. The financial figures discussed on this conference call are on a non-IFRS basis, with revenue growth rates on a constant-currency basis, unless otherwise noted. Some of the comments on this call contain forward-looking statements that could differ materially from actual results. Please refer to today's press release and the Risk Factors section of our 2023 Universal Registration documents. All earnings materials are available on our website and these prepared remarks will be available shortly after this call. I would like now to hand over to Pascal Daloz.
Pascal Daloz: Thank you, Beatrix. Good morning, good afternoon, everyone. Thank you for joining us today. It's always a pleasure to be with you for the full year results and for the quarterly results, the Q4. Let me give you the tone first. I think we are really pleased with our performance and the strong momentum we have this quarter. We signed major contracts, driven by the 3DEXPERIENCE, which will accelerate the future growth. Now let's start with some few headline figures for our Q4 and full year 2024 results. First, we delivered strong Q4 results with the software revenue accelerating to 9%. This top-line momentum was driven by 13% increase in the new business and a 22% rise in 3DEXPERIENCE. EPS grew by 11%. Before I hand it over to Rouven for detail on our financial and 2025 outlooks, I want to touch three important topics. First, 2024 has been a year of competitive success, mainly driven by the expansion of 3DEXPERIENCE across industry, domain and geography, and redefining our strategic partnership with many industry leaders. I will share some names with you later. Second, key two the success is really the relevance of 3DEXPERIENCE, now contributing to nearly 40% of the software revenue. By combining the deep industry knowledge and know how, it helps customers enhance their value propositions and empower their teams. This, again, will nurture our future growth and build the foundation for the broad cloud adoption. And third, I think today, we are unveiling a major horizon for Dassault Systèmes, one that builds not only on the work over the past three years to define and create the game-changing solutions, based on the deep and wide adoption of generative AI, but also on the positioning of our company. I think this solution will enable our customers and clients across all the sectors to take advantage of the artificial intelligence at every stage of the lifecycle of the products and services. Now, let's start with the sector trends and key wins. In manufacturing industry, the automotive sector faces slowing demands, mostly driven by the lower EV adoption rates. Automaker, and you know it, are under increasing pressure to transform and to become more innovative and efficient. To achieve this, they really need to develop a software-defined vehicle, while also becoming more cost effective as vehicles are currently too expensive. This is why, they are turning to 3DEXPERIENCE. Over the past 18 months, we have displayed the competition on many occasions, and we have significantly expanded our footprint, while preserving at the same-time our value. So let me remember the sequence. At end of 2023, we had GLR, Renault and this year, we had BMW, Volvo, Mahindra & Mahindra. I'm extremely proud to announce that, Volkswagen Group has also chosen to adopt the 3DEXPERIENCE. Beyond these win backs, I think the industry continued to offer substantial growth opportunities, within the supply chain or by expanding the deployments with our existing clients. Meanwhile, the aerospace industry is facing a paradox. The order backlogs are at record levels, but the supply chain disruptions and the production ramp-up challenges make transformation even more critical to collect the cash. Aerospace OEMs rely on 3DEXPERIENCE to meet demands, accelerate production, optimize the cash flow and streamline the supply chains. As a proof of this, in 2024, we redefined our 20-year partnership with Airbus, by expanding into their value network. And we are also expanding in the U.S. defense sector with Lockheed Martin Group, which I will discuss in more detail shortly. Looking ahead, we see significant growth opportunity, particularly in the Space & Defense, with the U.S. being the critical market for the expansion. In the consumer driven industry, the PLM adoption is still early stages, creating a strong growth dynamic. With Centric PLM, our dedicated brand for this sector, we are uniquely positioned to capitalize on this momentum. And our solution is a perfect fit for their needs, and the addressable market remains extremely vast. Now turning to Life Sciences. We announced our strategic repositioning in next -- New York in November, and some of you have the chance of the opportunity to attend it. So this repositioning includes the expansion of the value propositions of MEDIDATA, which is now built on three pillars: the patient experience on one hand, the data experiences and the study experience on the other hand. It has been well received by our clients, notably in the pharma sector. This is -- I mean, as an evidence, we can -- you can see it by the renewal and the expansion of the major contract we achieved in 2024. We leverage our extended portfolio with clients such as BMS, Sanofi, AstraZeneca, Moderna, Regeneron, [Novacap] and Bayer, which I will elaborate on shortly. Additionally, I think we signed several win backs displacing competitors, including strategic EDC agreement with Eli Lilly, one of our competitor's flagship customers. This repositioning in Life Sciences also includes an expansion into manufacturing and TLM, the integration of artificial intelligence across the portfolio, the development of the human virtual twins as a way to connect between the physical and the real-world, for example, combining the real growth with software to enable personalized treatments. Consequently, I think we are confident in our ability to return progressively to double-digits growth, driven by our strengthened position in Life Sciences and our ongoing innovation across our portfolio. In the Infrastructure sector, the energy transition is driving strong demand across renewal and nuclear, fueling sustained green capital expenditure. In Constructions, the focus is really on enhancing productivity, minimizing material waste, renovating existing buildings and reducing the CO2 emissions. This segmented industry, from hospital to nuclear plant and data centers, requires deep expertise. And we focus on key segments using 3DEXPERIENCE and virtual twins to integrate the knowledge and the know-how and enable a more generative approach. In addition, I think with one single platform, we are creating the value on both sides, the build, the engineering phase and the run phase, the operational phase. In the infrastructure sector, I think more than the market share, it's the share of value that matters to us. We focus really on the transformative projects that make the real impacts, where we bring disruptive approach to drive lasting change. Now let's explore in detail some of these customer successes. As I mentioned, Volkswagen Group has selected 3DEXPERIENCE on the cloud, a decision that encompasses all the group brands, the well-known brands, including Volkswagen, Audi and Porsche, but also Skoda, Seat, Cupra, Bentley, Lamborghini's, Kenya just to name a few. This is a significant win, once in every 20 years decisions, and I like to remember this. Facing significant strategic challenges, I think VW has selected us to support these transformations. With close to 40,000 users relying on 3DEXPERIENCE, we are expanding the scope of our partnership beyond the mechanical engineering to system engineering on one hand and manufacturing on the other hand, with 100 of VW Group factories involved. This extension of our scope implies displacing the competition. With 3DEXPERIENCE, VW will benefit from a faster development cycle, an optimized resource allocation and a shorter time to market, cutting it in half. Their choice of our cloud solutions will also accelerate the adoption and lay the foundation for artificial intelligence. We are strongly supporting Volkswagen in its radical transformations, moving from the traditional car manufacturing to the software driven industry. After Volkswagen, let me focus on another major win, Lockheed Martin Group. This decision also encompasses all the group divisions, including the Aircrafts, the Space Systems and Helicopters. Pacing surging defense demand, they must accelerate the productions. And as a longtime partner, they are expanding their commitment by expanding the use of 3DEXPERIENCE to transform their manufacturing operations. In this case too, we are displacing the competition. 3DEXPERIENCE for manufacturing will streamline the production, connect the suppliers and the shop floor for rigorous quality control, and it takes it a step further. Lockheed Martin is also becoming a model based enterprise, with a fully integrated digital spread across the entire product lifecycle in another world, whilst they are creating the virtual twin of the enterprise to drive the greater agility. Now moving to Life Sciences. Bayer reaffirmed its 90-year partnership with MEDIDATA as a key strategic partner for the clinical research. As part of their growth strategy, they explored other solutions, but realized none could meet their high standards. With these renewals and extensions, Bayer is accelerating its clinical trials, both by increasing the volume of studies conducted with us, and expanding the use of our portfolio of products to transform also their manufacturing. So, they are also preparing the future with Rave Lite for early phase studies and expanding the use of Patient Cloud, making it easier for patients to participate remotely. This isn't just a contract renewal. It's a clear acknowledgment of the superiority of the MEDIDATA platform. Now to conclude with the customer wins, BIAD has chosen the 3DEXPERIENCE platform to transform the hospital constructions. By leveraging the virtual twin and simulations, we enhanced Patient Care, reduced the wait times and optimized the operations. Reducing the knowledge has increased productivity by 30% and cut costs by 15%. And with our productizations approach, BIAD is setting new standards in quality and efficiency. The first hospital virtual twin was completed in just 90 days, and another 19 will follow in Beijing alone, really transforming the industry at large. This is how we drive innovation in the specialized construction market. A final note on construction markets. You know that China accounts for more than 25% of the global construction markets. And to accelerate our market penetration, we are launching a joint venture for sustainable building and cities in China with [CACDI], a leading architecture and engineering institute employing over 5,000 engineers. And for the ones who are very interested by this, you know they just published a complete scientific analysis in the famous [indiscernible] group which is nature, and you have the link in the chart, showing that combining 3DEXPERIENCE with the virtual twins reduced the construction time by 25%, the cost by 10%, the waste by 15% and improves the quality by nearly 20% at the same time. Now, I want to move to the strategic sections. You remember, just one year ago, we announced our 2040 year vision. We call it the generative economy, which is the convergence of the Experience Economy. And you remember the Experience Economy, a product is not enough. You need an experience with goals with it. It's a convergence of the Experience Economy with a circular economy. It's really about taking inspiration from the living world to generate rather than consume. For our customers, the Generative Economy provides tremendous opportunity when it comes to create sustainable products and services, reinventing circular way of life, providing accessible and quality care, for example, for all. The Generative Economy is an OLED economy. It's an economy of the virtual assets, in which intellectual property will serve as a new currency. And tomorrow's industry leaders will be those with the best developed knowledge and knowhow assets. As a consequence, today, as part of the Generative Economy, we are introducing the 3D universes and their related AI based services. In fact, the 3D universes are the new class of representation of the world. And for the ones who are following us for a long time, you know that Dassault Systèmes DNA is really inventing industry changing representation of the world. 3D universes are the seventh generation of representations that we introduced over the past four years, allowing new ways of imagining, creating and producing. So just a quick recap. Generation 1 was really about the 3D modeling for digital pre assembly. Generation 2 was the digital mock up for design and context. Generation 3 was PDM on how to couple the information with a representation for collaboration through project and program management in the engineering and manufacturing domains. Generation 4 was related to the product life cycle management for better traceability and better certifications. Generation 5 is a virtual twin. It's how we can replicate the real, but by elevating it, because it's all the knowledge and knowhow embedded into the things. The virtual Generation 6 is about virtual twin experience. And you remember, it was moving from things to life, making biology as an integrated part of the virtual twins. All of those generations are creating a rich legacy of intellectual property. It was created with our customer base, the largest in our sector, and now we have the benefit to have the largest knowledge base in our market. So what are the 3D universes? The 3D universes is, in fact, a combination of modeling, simulation and real world evidence with the artificial intelligence generated content. They embedded multiple generative AI technology at the core of our platform. They will allow customers to fully explore their rich and high-quality patrimony of 3D designs, virtual twins or PLM data and the 3D universes offer a unique and secure industry environment for combining and cross simulating virtual twins, on one hand, and for training the multiple artificial intelligence engines, while at the same time we are protecting the customer intellectual property. As a consequence, we are introducing new artificial intelligence-based services. First one is generative experience, an experience is that are not created by human, but with artificial intelligence. The second is virtual companions, which is really a way to upscale our role and processes portfolio. And lastly, an intelligent virtual twin experience as a services, which my view is preparing what will be the future of the professional services in our industry. Now let me give you an industry view of the 3D universes. In each of the three sectors, we are focusing on the value areas centered-around what we call the end products and services, the core value created by our customers for their end users. With 3D universes, our ambition is to virtualize the entire cycle of life of these end products. 3D universes make it possible for customers to create a virtual twin of everything for everyone. Virtualizing the cycle of life is possible by connecting virtual and real and connecting the virtual twin together. For instance, for cars, we can connect the virtual twins of its designs, engineering and manufacturing and the usages at same time. It's a crucial factor, because in the 3D universes, we want to make generativity trustable, because 3D universes are really science-based spaces for understanding, experimenting and learning, at the same time. For example, in life sciences and health care sector, I think with our multi-physics and multi-biology modelers, we provide the virtual twin of the heart of a specific patient. By combining the modernizations and simulation with artificial intelligence, the surgeon can now generate therapeutic scenarios and validate them. 3D universes is becoming the virtual companion of the surgeons, helping them to make the best decisions. Protecting the patient data is just as essential as protecting the citizen data. In the infrastructures and city sectors, I think, we are also providing 3D universes being powered by artificial intelligence. And we are clearly offering a trusting environment to manage the complexity by aggregating the multiple cost pieces of data, whatever the citizen data, the city planning, the flow, the traffics. We are integrating all of them into a unifying model. And from there, we are generating life experiences. With this plasticity, I think the 3D universes are becoming an operating system for the cities. As a consequence, with 3D universes, we are repositioning Dassault Systèmes as the most trusted IP generation and Management Company. This is a major strategic move for our customers across the three sectors we serve. Equivalent to what we did in 2012 with 3DEXPERIENCIES in terms of impacts. To summarize, I think 3DEXPERIENCE embedded multiple generative AI technologies at the core of our platforms. Our multi-AI platform provides customers with a world-class secure environment to reveal and generate their own knowledge and knowhow with a rapid deployment. AI is really about empowering organizations, consumer, patient and citizens with knowledge and know-how. And with this, we are expanding our offering, in addition to our Industry Solutions process and road, by introducing new category of experience-as-a-services, the first one being the generative experiences the second one, the virtual companions and the third one, the intelligent virtual twin experience as a service. And finally, all of this is about trust. And 3D universes make generatively reliable. I think we are committed to protecting our customers' intellectual property. Thanks to our 40 years of industrial legacy and immense customer base we have, we train our artificial intelligence engines on the most meaningful purposes to create the highest value for our customers. So those key points will be regularly addressed in our communications on a quarterly basis, but it will be also the focal point for our upcoming Capital Market Day in June. In the meantime, I think it's time now to hand over it to Rouven. Rouven, you have the floor.
Rouven Bergmann: Thank you, Pascal, and good afternoon and good morning to everyone to you in the United States. The quarter is a strong proof point of our resilience and competitiveness, translating to 9% growth in software revenue and solid margin expansion of 70 basis points. Clearly, it demonstrates the trusted customer and partner relationships we have built over decades, and many have expanded their commitments with us in 2024. For the full year 2024, I would like to highlight the operational strength of our business. Thanks to productivity gains and effective resource allocation, we achieved healthy EPS growth of 9% and improved cash conversion in a volatile market environment. Now let's review the financials for the quarter and for the full year in more detail. In Q4, total revenue grew 7%, driven by strong growth in new business, up 13%. Operating margin improved by 70 basis points to 36.3%, and we delivered EPS at EUR0.40, up 11%. For the full year 2024, total revenue was up 5% with software revenue growing at 6% and subscription revenue at 10%. Our subscription growth trends continue to be strong. When excluding MEDIDATA, the growth is 20% for the year. This is driving up the share of recurring revenue to now 80% of our software revenue. Operating margin was 31.9% and EPS was EUR1.28, up 9% year-over-year, driven by productivity improvements. At the same time, we remain focused on innovation. It is how we differentiate and how we win against competition across all sectors. Now with that, let's review our growth drivers. 2024 has been a year of competitive success, driven by the expansion of 3DEXPERIENCE across industries, domains and geographies. In Q4, 40% of the 3DEXPERIENCE deals were competitive displacements. Industry leaders are adopting the 3DEXPERIENCE platform, as a knowledge platform across the entire enterprise and value network. This is reflected in the strong 3DEXPERIENCE growth with software revenue of EUR376 million, up an impressive 22% in Q4. In the quarter, large transactions with a value greater than EUR5 million contributed 90% to the 3DEXPERIENCE software growth. While cloud revenue for the Group grew 7% in 2024, mainly due to the lower contribution of MEDIDATA, cloud revenue excluding MEDIDATA was up 41% in the year, with 3DEXPERIENCE cloud up over 50%. The cloud represented 24% of our full year software revenue. Now let's review briefly how we performed relative to our objectives for Q4. Total revenue came in around the midpoint of guidance. The performance was driven by softer revenue growth. Operating margin was at 36.3%, 20 basis points below the midpoint of guidance and EPS at EUR0.40, which was above the midpoint, thanks to the resilience of our business model as expenses were largely in line with revenue growth. Now let me turn the focus on our geographies and product lines, starting with the GEOs. Europe showed strong growth acceleration in Q4. It was up 14% and 6% for the full year, led by France and Southern Europe, thanks to large deals closed in Aerospace & Defense and Home & Lifestyle. Also, as you just heard from Pascal and saw in our press release this morning, we signed a strategic agreement with Volkswagen Group, expanding our footprint significantly across the group and into manufacturing ramping up over the next years. In the Americas, revenue was up 5% in Q4 and 4% for the full year. Competitive disbasements are driving our momentum, most notably in Aerospace & Defense. Lockheed Martin entered an agreement to expand their 3DEXPERIENCE footprint across new programs and into manufacturing. In Asia, performance was good in the quarter, up 7%, led by healthy double-digits growth in Japan and India, while China was rather soft in the quarter in parts due to the high baseline effect from 2023. For the full year, Asia demonstrated resilient growth with software revenue up 9%, and it was led by Japan, India as well as good performance of Southeast Asia. Now let's turn to the product line performance. Industrial innovation software revenue grew 8% in Q4, driven by strong momentum with 3DEXPERIENCE wins. Our industrial customers are looking for best practices to redefine engineering and manufacturing, connecting virtual and real worlds. This is driving also the exceptional growth in manufacturing this quarter with SIMULIA up over 30%. In Life Sciences, we saw the expected improvement of MEDIDATA, returning to growth up 1% in Q4. As Pascal outlined, 2024 was a year of transformation to reposition MEDIDATA in our life sciences strategy. The strategy is endorsed by our clients. In the fourth quarter, we signed key long-term renewals with several top 10 pharma, including several win backs and platform expansions with our most strategic accounts. Most notably, with Eli Lilly, we expanded our top 10 pharma footprint, signing a strategic enterprise agreement, including [RES]. All of the above resulted in healthy bookings growth versus last year, driven by large pharma and mid-market, highlighting our competitive strength. On the flip side, we still see a degree of caution in terms of bookings cost from CRO partners. The business dynamics for large pharma and mid-market is driven by innovation and transformation, while CROs is much more dependent on volume of study starts. In total, we won more than 200 net new customers with MEDIDATA in 2024, and expanded our market share by over one point in clinical trials, driven by large share gains in Phase III and II. Mainstream innovation continued the strong momentum we saw throughout 2024. What stands out this quarter is also the growth acceleration of SOLIDWORKS, delivering high single-digits, while Centric continued the outstanding performance throughout 2024 and delivered a strong finish in Q4, driven by an exceptional number of renewals. Notable deals for Centric in the quarter included LVMH, Leclerc, H&M and Shopsense. And to fulfill our growth in the years to come, with Centric, we are expanding to new verticals within consumer industries and position the PLM approach as an end-to-end business platform for the consumer-centric industries. Now turning to cash flow and balance sheet items. Cash and cash equivalents totaled EUR3.953 billion at the end of 2024, compared to EUR3.568 billion at the end of 2023, an increase of EUR384 million. At the end of Q4, our net cash position totaled EUR1.459 billion an increase of EUR881 million versus a net cash position of EUR578 million on December 31, 2023, and it's up over 2.5x. Now let's look at what is driving our cash position at the end of the fourth quarter. We generated EUR1.66 billion operating cash flow for the full year, a 6% increase for this last year. This was driven by higher net income, while year-over-year changes in working capital were flat. Higher increases in trade AR reflects strong business activity in Q4, and was partially offset by an increase in contract liabilities. Non-operating working capital was favorable mainly thanks to lower tax payments. For further details, please see our reconciliation on operating cash flow published this morning. Thanks to the improved working capital, cash conversion from non-IFRS operating income was up by three points to 84%. To conclude, operating cash flow for the year was used for cash dividend paid in Q2 of EUR303 million, the net purchase of treasury shares totaling EUR374 million CapEx investments of EUR189 million for new offices in France, U.S., India and IT equipment and the repayment of lease liabilities of EUR80 million and EUR501 million for repayment of debt net of proceeds. Now let's turn to our fiscal year 2025 outlook. As you saw in this morning's press release, we expect our full year 2025 total revenue growth in the range of 6% to 8% with software revenue growth at 6% to 8% as well. Subscription revenue growth is expected to be in the range of 13% to 15%, driving new business growth up in the range of 9% to 12%. We expect the share of recurring revenue to reach 81% of software revenue in 2025 and services revenue growth is expected at 3% to 6%. In terms of profitability, we anticipate the full year 2025 operating margin in the range of 32.6% to 32.9%, the year-over-year expansion of 70 to 100 basis points ex-FX and EPS up 7% to 10%. This reflects strong operating leverage, thanks to the productivity gains we achieved in 2024 that will now come into effect. We ended 2024 on a strong note, demonstrating great resilience in a year that presented new challenges, but also opportunities. Let me share the key assumptions to the 7% total revenue growth in 2025. First, we expect the momentum of 3DEXPERIENCE adoption to continue to drive growth in industrial innovation across key industries, such as aerospace, defense, industrial equipment and also high-tech. The auto sector continues to play a crucial role. However, we reflected some degree of caution by reducing the contribution of this sector to our outlook. The potential of 3DEXPERIENCE in 2025 is to expand our footprint in manufacturing and the value network. In mainstream innovation, we see an increase of confidence by our partners to drive the growth in SOLIDWORKS with new users and platform expansion. Centric PLM had an exceptional year driven by large renewal cycle in 2024. And now in 2025, we expect the growth to be aligned with our midterm plan of mid to high teens. In Life Sciences, we expect mid-single-digits growth for MEDIDATA. This considers continued momentum with large pharma and mid-market clients, while we anticipate CROs will continue to face volume pressures in study starts similar to 2024. It's important to highlight that our confidence with large pharma is driven by the adoption of newly-launched products. This clinical data studio, we are revolutionizing data management applying AI to reduce timelines, risk and ensure safety. As it relates to early and late phase markets, we are now well-positioned with Rave Lite to capture incremental growth in this dynamic market. It represents a key pillar to our growth strategy in 2025 and beyond. And now for Q1, let me provide you some insights, which will help you to model the starting point. We see a more balanced year between H1 and H2 compared to last year. In Q1, we anticipate total and software revenue growth in the range of 3% to 8%, reflecting a degree of caution on the timing of certain deal signature in the current context. To complete the picture, subscription growth is anticipated in the range of 8% to 14% and upfront license revenue between 0% to 9% growths. In terms of profitability, we expect the operating margin to be in the range of 31% to 31.1% and fully diluted EPS at $0.30 to $0.32, or up 3% to 7% growth year-over-year ex-FX. Now in conclusion, 2024 confirmed the strong customer relationships evidenced by a number of large breakthrough competitive wins in our core sectors. This reflects the confidence from our clients ready to engage in the long-term. We prepared 2025 with the right investments to open a new era and to expand our customer relationships with 3DEXPERIENCE, while delivering our EPS target in 2025, thanks to productivity advancements. I want to thank you again for joining us for this call. And now, Pascal and I would like to take your questions.
Operator: [Operator Instructions] Today's first question is coming from Balajee Tirupati calling from Citi.
Balajee Tirupati: Hi. Good morning and good afternoon. Balajee Tirupati from Citi. Two questions from my side, if I may. Firstly, I'd like to congratulate you on results and also successfully closing some of the large deals in the quarter. Could you share color firstly on Lockheed Martin deal? And can you confirm here, if the closed deal covers the complete scope that had slipped out of second quarter? And then on the Volkswagen deal, as the expanded scope includes 3DEXPERIENCE platform on the cloud, would it be fair to think that there is no upfront revenue element from that deal? And then I have a follow-up question.
Rouven Bergmann: Yes. Thank you, first of all, for this. And I can answer, address the first two questions and Pascal, please add to Lockheed. You're right. It is a cloud deal, so there's no upfront revenue involved in this. There are milestones in this contract. On these milestones, we are building up the ramps. So there are events in this contract over time, but we'll see this contract ramping up and producing more revenue. But it's an all recurring run rate that is building up. This is to the Volkswagen deal. And to Lockheed Martin, the Lockheed Martin deal, of course, evolved over 2024 in terms of its scope and size. At the end, we were very pleased with the outcome, but it also leaves room for future growth. I want to be clear about this. It's a significant expansion compared to the previous footprint because we are now entering manufacturing in a big way.
Balajee Tirupati: Very clear. Thanks. And the follow-up question on margin side. Looking at your 2024 outlook, it would appear that, expectation is for headcount growth to remain at probably 2% to 3% level. While you're working towards supporting further acceleration in growth beyond 2025, are you also realizing or factoring efficiency gains internally from the AI technologies?
Rouven Bergmann: We are factoring productivity gains from automation, where we can automate and it makes a lot of sense to invest and drive automation and simplification. We have started this quite some time ago. We see the effect of it also in 2024 already. The margin of Q4 is a strong acceleration compared to beginning of 2024, we were catching up at the end of 2024 because of those efforts that we have started well before. We have been able to lower our hiring rate because of it, certainly in the area of G&A. We will continue to hire and invest in R&D and sales. We'll continue to invest in the areas that are growing fast like Centric. And in terms of productivity, we also I think, did a good job at MEDIDATA to adjust our baseline, which is now giving us good operating leverage to reinvest. So all of those components together are giving us a good starting point for margin expansion coming into 2025.
Pascal Daloz: Can I use your question to clarify one topic?
Balajee Tirupati: Yes, please.
Pascal Daloz: Yes, you do see in the beginning of Dassault Systèmes, we are not hiring developers. We have built the company on the fact that we were hiring high profile of engineers. People who have the ability to imagine the future to design and to create the products to create a new methodology or the new approach to the design, manufacturing, simulation, test and so on. Why I'm seeing this is because for all the companies who are saying that they will replace the people by using artificial intelligence to generate the code. This is not the case of Dassault System. It has been a long time. We are generating the code automatically. It's not new for us. So this is an important topic for you to keep in mind. I think it's -- what you are mentioning is a big topic for IT services company because they are the one developing the code on demand for specific customers. And this could be replaced by the artificial intelligence and genes. So that was my first comment. The second comment is, if you remember in 2023, we did a lot of investment on the sales -- on the field side. And we were expecting to have the benefit of the investment, the return of our investment in 2024. 2024, specifically for the first 3 months, we did not have the full benefit of this investment. And that's the reason why we are basically investing a little bit less in sales and marketing but we are keeping the investment we are planning to do in research and development, specifically at the time where we are launching the Generation 7 of our new technology.
Balajee Tirupati: Really glad to see does back to consistent margin growth being a consistent margin growth story. Congratulations once again.
Operator: Our next question will be coming from Nicolas David of ODDO BHF.
Nicolas David: The first one is regarding SOLIDWORKS. You showed a nice performance in Q4. Could you please elaborate a bit more on what has driven this uptick in growth? Was it some more licensees, which can be a bit exceptional? Or is it really the first benefits of the move to subscription and what do you see for 2025? And maybe also some modeling questions. The first 1 is also to the first question regarding OpEx. So can we imagine that the 6% is the new normal in terms of OpEx growth for the next 2 to 3 years? Or we can expect that efficiency gains we say that we will have to be back to a bit higher OpEx growth from 2016 onwards. And also in terms of tax rate, could you give us a bit more visibility on what you expect for the tax rate longer term can it stay as low as the expected for '25?
Rouven Bergmann: Thank you, Nicolas. I try to get through the 3 questions sharply. For SOLIDWORKS performance, I think is the best way to categorize it or to summarize it, it was point based. And when I say that, in terms of the models, it was broad-based and also the volumes were strong. So we're winning market share. We see the confidence in our partners in the segments of where we're selling the licenses, and we have 1 to 3 seed clients but also in our ability to expand with our platform. So this was a very good quarter. And we expect SOLIDWORKS performance. You asked about 2025 to be mid-single-digit plus for 2025. The subscription transition is well underway. The bookings from subscriptions are growing very nicely. And the decline in license is very much. So the transition rhythm is, I think, in a very good place, producing overall a very solid growth. From an OpEx standpoint, we are focused on productivity. We want to be -- we want to make sure we are investing at the right pace. We need to be focused on the timing of the investments and the speed that is important. And right now, our focus is now to accelerate revenue growth. We're now at 6% to 8%, and will set the foundation for further acceleration in 2026. That's our focus. And I do not see any reason why we shouldn't continue to be able to also expand our profitability as we do that. But we'll need to be mindful on how much leverage we want to put back into the business to ensure we'll hit the double-digit growth. That's the number 1 priority. On the tax rate we have good -- well, I want to be careful to say that we thought we had good visibility coming into 2025. Now there's potentially a lot of things at stake with new tax laws in the United States that the new administration is working on that we do not have too much visibility but if we assume it is business friendly, I think we should have a benefit from that or we should not be -- it should not be worse than compared to what it is today. So I'm not so concerned about it, but there will be change for sure that we have to master. And related to the French side, in terms of the exceptional tax that is currently in discussion, but that could be an exposure of EUR20 million to EUR22 million for 2025. So it's manageable for us. And given it's exceptional, it would also be not part of our non-IFRS financial statements. But nevertheless, it has a cash impact. Now for the longer term, I think we are very well advanced in tax planning. So that we have fairly good visibility, and we are able to offset risks and opportunities because we can anticipate them, and it gives us a certain stability as you have seen over the last years and that's a good place to be.
Nicolas David: All right. Regarding your commercial [indiscernible] regarding operating cash flow growing in line with [indiscernible] profit. Does it include the exceptional tax in France in your calculation? Or will it come at a negative base from your [indiscernible].
Rouven Bergmann: Well, it's EUR20 million is not too much, right, and EUR1.8 billion. So, yes, it can be a factor, I would say. There are many factors, of course, in operating cash flow on a full year, but it's a small factor. But the statement that I made is valid. We're in line with the operating income growth, and that's how we should think.
Nicolas David : [Technical Difficulty]
Operator: [Operator Instructions] We'll now move to Michael Briest of UBS.
Michael Briest: Just on the cloud, the non-MEDIDATA cloud growth slowed to 19%, from, I think, 38% in Q3. I appreciate there's some lumpiness in it. But how do you see that progressing this year given contracts like Volkswagen? And how do you think about the EUR3 billion ambition for 2028?
Rouven Bergmann: Thank you, Michael. So if you look at the cloud growth for the full year, it's up 41%, excluding MEDIDATA. So I think it's not bad. We are -- we signed cloud deals -- in Q4 2024 that will contribute strongly to 2025. So we're confident about our cost outlook. MEDIDATA will also come back. So overall, the cloud number will benefit and cost will accelerate that's the message for 2025. Cloud growth accelerating. And as it relates to our EUR3 billion target for 2028 given that we see a strong trend of 3DEXPERIENCE deals being a combination of a strong combination of cloud and some -- still some legacy on-premise footprint the share of cloud in our revenue is increasing. And it's very visible on large transactions. There's almost no large deal where there's not a cloud component included. And that gives us good visibility and constant inputs all our customers on the road map of cloud deployments. And so from that perspective, I think we are much advanced compared to the beginning of the year, even though there's some lumpiness we had in 2024, you're right, and we would have liked to see that number growing faster in 2024, but we signed a lot of contracts that will start to contribute to course in 2025.
Michael Briest: Okay. And what have you done to reduce the back-end loaded nature of the year? I know last year, a lot of deals are going to be in Q4. So what are you going to bring forward those deals?
Rouven Bergmann: Well, some is difficult to control, I'll be honest. I think important is we delivered and signed the deals in the year. 2024, I think, was an exception as it relates to this for multiple reasons. In 2025, as I said, the pipeline is much more balanced between H1 and H2. It's also less dependent on the auto sector as it was in 2024. And yes. I think --
Pascal Daloz: Michael thank you for speaking. I mean I tried almost everything on this changing the incentive for the salespeople, for the resellers sometimes giving favorable terms for the customers to sign earlier. The truth is, I mean, Q4 has always been bigger than the other quarters. And it's true for all the software company. I mean the last quarter of the year, the fiscal year is always bigger than the rest. So it is what it is. After the question is how to secure them, which is the real question. And this is where I think we are making probably much more effort this year to assess the profile of the pipeline relatively to the potential exposure to the macro economics in order to have the ability to offset if something is happening. And if you remember last year, I think we started the year with 38% of the pipeline coming from the auto sector. And we -- I think we -- we took too much time to rebalance the pipeline curations to offset it. It's not a mistake we are doing the same I mean, we are much more careful this year in the way we are managing it. We'll be much more balanced, be much more diversified to have a balanced contribution between the large deal and midsized deal. That's the best answer I can give to you.
Operator: [Operator Instructions] And today's last question will be from Jay Vleeschhouwer of Griffin Securities.
Jay Vleeschhouwer: Thank you. Pascal, to start with you. I'd like to understand the portfolio implications of the 3D universe news. That is to say will this have the effect of increasing portfolio complexity through additional trigrams for example, and new pricing? Or is it intended to have the opposite effect of perhaps more simplification of the portfolio in terms of products and pricing and thereby perhaps improve the salability of the products. Secondly, for Rouven, a year ago in your 2023 annual report you noted that your remaining performance obligations coming out of '23 were EUR2.44 billion and your current RPO for '24 was almost EUR1.3 billion. Perhaps you could update us on what are both of those numbers as of the end of '24, looking at '25. And then finally, the obligatory SOLIDWORKS question, mixers though, on initial calculation that your 2024 SOLIDWORKS volume as traditionally calculated, that is new seeds for SOLIDWORKS, we're just over 83,000 for the year. So record, but perhaps not quite as much as you had thought initially you would do for 2024.
Pascal Daloz: So Jay, let me come back to the perceived complexity but it's an interesting question. And I know it's coming from the resellers, what you say. But let me tell you something. We took the decision almost a decade ago when we came with 3DEXPERIENCE to be industry focused. As soon as you start to look at from an industry standpoint, the portfolio is not complex. You have a set of solutions, the set of proceeds and a set of rules, which are dedicated for a given industry. It's becoming complex if you are not adopting this approach. And this approach is the approach for the direct sales, and this is the approach for what we call the CPE, the value [indiscernible]. This is not the approach for the mainstream where we have a limited number of packages. Now to answer to the questions. I mean the new categories of AI-based related services, whatever a generative experience or virtual companions of virtual twin as a service will come on top of the portfolio. But it will be associated to the portfolio. So if you take a role, whatever it is -- it's -- for example, a mechanical designer or system architects, you will have a collection of virtual companion attached to this world. So from a packaging standpoint, this will be attached in a simple way. From a pricing standpoint, this is opening a new question, which is for right now, the entire pricing system is based on the name user. And with the virtual companions, we have to price those virtual companies independently. So it will be again in addition to the traditional approach. But I do not -- again, to come back to your questions, I think this is not in rosin complexity as soon as you are adopting the way we want to go to the market. But if you try to mix the 2 model, the industry with the mainstream, it doesn't work.
Jay Vleeschhouwer: Okay. And the 2 other questions, please.
Rouven Bergmann: Yes. Thank you. Regarding the backlog visibility, what's your question? Jay?
Jay Vleeschhouwer: Yes.
Rouven Bergmann: The backlog visibility -- when I look at -- when we look at our subscription revenue guidance for 2025, which is 14% at the midpoint, we are well over 80% of this target covered in our baseline or run rate or call it backlog, which comprises of all the contracts that we have signed that produce revenue in 2025 plus the renewal that are anticipated at the par level, the same contractual value. So no upside or no upsell included, and we have well over 80% of that target covered. The remainder in order to deliver the 14% growth is also well covered with our pipeline. So we have good visibility towards the subscription number. We signed a lot of large contracts in the last 1.5 years. They are all at one in common. They are recurring. And they also left to further activate an uplift value up and increase the commitments with our clients as we expand our footprint with 3DEXPERIENCE. So this is as much as I can share with you with you now, but it's giving us good confidence on our visibility for subscription, which is a big number in our overall software revenue growth.
Jay Vleeschhouwer: Okay. And Pascal, before you get to the SOLIDWORKS question, maybe a clarification again on the universe thing. This is not yet what we would consider to be architecturally V7 that is the architectural successor to V6. This is more really about packaging new capabilities, but not a fundamental change in the plumbing.
Pascal Daloz: It is not a new architecture is, as you say, it's a new generation of technology. We are embedded into the current architecture, which is the 3DEXPERIENCE platform. So you're right.
Jay Vleeschhouwer: Okay Oh, sorry. The calculation was that you did over 83,000 licenses for the year as traditionally measure.
Rouven Bergmann: Well, we grew the number of licenses over double-digit year-over-year. Q4 was even better than the full year. So we saw an acceleration at the end of the year. So we should be well within your model and within our model that with this performance.
Operator: Ladies and gentlemen, that will conclude today's question-and-answer session. I'd like to turn the call back over to Mr. Daloz for any additional or closing remarks. Thank you.
Pascal Daloz: Thank you, George. So I really would like to thank you for your participation and your presence in this call. As I was saying, I hope to see most of you in person in the coming weeks because the Rouven and Beatrix will be on the road to do the road show. And anyway, we have -- this year, we have the Capital Market Day in June, which is an important milestone I think, given the fact that we announced the Generation 7, and I will come back on this to give more registrations, more projections about what it means. But remember what I told you, I'm very excited with these new horizons. This is really a game changer for our customers. And the universe is almost, remember, when we came with 3DEXPERIENCE in 2012, it's the same impacts. So be ready. I think you will see us communicating on a regular basis and coming with proof points about how much progress we are doing on this front. And on this, this is, I think, concluding this call. So thank you again for your participation. See you soon.
Operator: Thank you, sir. Ladies and gentlemen, that will conclude today's presentation. We thank your attendance. You may disconnect. Have a good day and goodbye.